Operator: Excuse me, everyone, we now have Sean Reilly and Jay Johnson in conference. [Operator Instructions] In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its future financial performance, strategic goals, plans, objectives, including with respect to the amount and timing of any distributions to stockholders and the impacts and effects of general economic conditions of the company's business, financial condition and results of operations. All forward-looking statements involve risks, uncertainties and contingencies, many of which are beyond Lamar's control and which may cause actual results to differ materially from anticipated results. Lamar has also identified important factors that could cause actual results to differ materially from those discussed in this call in the company's fourth quarter 2023 earnings release and its most recent annual report on the Form 10-K. Lamar refers you to those documents. Lamar's fourth quarter 2023 earnings release, which contains information required by the Regulation G regarding certain non-GAAP financial measures was furnished to the SEC on a Form 8-K this morning and is available on the Investors section of Lamar's website, www.lamar.com. I would now like to turn the conference over to Sean Reilly. Mr. Reilly, you may begin.
Sean Reilly: Thank you, Savannah, and good morning, all, and welcome to Lamar's Q4 2023 earnings call. I would characterize 2023 as solid, while on the whole, revenue growth was not what we hoped it would be. As a company, we successfully navigated an uncertain macro environment and a recession in national ad spend, and we ended the year with encouraging momentum on the sales front. Meanwhile, our local managers controlled expenses incredibly well throughout the year, helping us to set another company record for adjusted EBITDA margin at 46.7%. I could not be prouder of our team for how they distinguish themselves in 2023. For the fourth quarter, revenue grew 2.5% on an acquisition-adjusted basis, accelerating each month with pro forma growth of 4% in December, our strongest year-over-year result for any month in 2023. Expenses, meanwhile, were basically flat for the quarter on an acquisition-adjusted basis. That translated into EBITDA growth of 5.1%, again on an acquisition-adjusted basis and an EBITDA margin of 48.2% for the quarter. As a result, as noted in the release, we easily exceeded the top end of our revised guidance range for AFFO per share. In fact, at $7.47 of AFFO per share for 2023, we were basically at the midpoint of the original guidance range that we provided last February. Jay will have more to say about what an achievement that was given the interest rate headwinds that we faced. As you saw, we issued guidance for 2024 of $7.67 to $7.82 per share. Being almost two months into the year, we are off to a good start, and we are tracking towards the upper end of that range. That said, the mid-ish point of that range equates to an increase of approximately 3.7% in AFFO per share. Also embedded in that outlook is an expectation for revenue growth on a same-store basis of, give or take, 3.2%. Consolidated expenses are expected to be up roughly the same. I should note that expense growth in the Outdoor business should be more like 1.5% on an acquisition-adjusted basis. The higher expense growth is a result of Transit business comps as we comp against some of the COVID relief grants that we received last year. Back to Q4. Strong categories for Q4 included services, automotive and amusement and entertainment. Retail, gaming and insurance backed up somewhat. Some of those weaker categories over indexed to national, which was down 4.3% in the quarter, while local was up 3.3%. We have seen that local national divergence continue into 2024, and we expect national to be down slightly in the first quarter. Programmatic was a bright spot in Q4, up 10% and that momentum has carried into 2024. Political, by the way, was off about $5 million versus fourth quarter of 2022, as you would expect in an off-political year. Conversely, political should be a nice tailwind in the back half of 2024. Digital was up in the aggregate in Q4 2023 and accounted for approximately 34% - I'm sorry, 31% of billboard billing, but it was down slightly on a same-store basis versus Q4 2022. We have added a lot of digital screens through acquisitions and internal conversions over the past several years, and you will likely see a somewhat slower rollout in 2024. We are targeting somewhere between 200 and 250 organic additions this year rather than the roughly 300 that we deployed in 2023. For 2023, we completed 36 acquisitions for a total purchase price of $139 million, including $19 million worth of deals in Q4. We believe 2024 is likely to be a quieter year on the acquisition front than 2023 as there are fewer assets coming to market, and there is often a bid/asked spread for those that do. If the year plays out the way we expect, we plan to use a significant chunk of our free cash flow to pay down the $350 million outstanding on our term loan A. Doing so would reduce our interest expense and our floating rate exposure and would position us well for any opportunities that may come our way in 2025 and beyond. Jay will have more to say about our plans for our balance sheet. Before I turn it over to Jay, I want to thank our employees once again for their efforts in 2023, which I believe has set us up for another year of growth in 2024. We really do have the best team in out-of-home. Jay?
Jay Johnson: Thanks, Sean. Good morning, everyone, and thank you for joining us. We had a solid fourth quarter and are pleased with our results, which exceeded internal expectations across revenue, adjusted EBITDA and AFFO. The AFFO growth achieved was the strongest since the second quarter of 2022, improving 9.9% to $2.10 per share on a fully diluted basis. In addition, despite a challenging interest rate environment, the company ended the year above the high end of our revised AFFO outlook. In the fourth quarter, acquisition-adjusted revenue increased 2.5% from the same period last year. As expected, expense growth continued to decelerate with acquisition-adjusted operating expenses increasing only 20 basis points in the fourth quarter. The company maintained a strong adjusted EBITDA margin of 48.2%, expanding margins by 110 basis points over the fourth quarter of 2022 and remaining at historically high levels. Adjusted EBITDA for the quarter was $268.2 million compared to $252.3 million in 2022, which was an increase of 6.3%. On an acquisition-adjusted basis, the increase was 5.1%. Free cash flow also improved in the quarter, growing 13.2% over the same period last year. For the full year, acquisition-adjusted revenue increased 2.1% to $2.11 billion compared to $2.07 billion in 2022, with operating expenses growing approximately 1% during the year. This was driven primarily due to expense controls in our Billboard business as well as COVID-19 relief grants received from our airport partners. Adjusted EBITDA was $985.7 million, which represents an increase of 3.5% on an acquisition-adjusted basis, following strong 10.6% growth in 2022 over the same period in 2021. Adjusted EBITDA margin was 46.7% for the full year, expanding 50 basis points versus a year ago. The company ended 2023 with full year diluted AFFO of $7.47 per share, which was above the top end of our revised guidance. For the 12 months ended December 31, diluted AFFO per share increased 1.2% compared to full year 2022. This growth was despite cash interest increasing $45.8 million for the year, which was a headwind of approximately $0.45 per share to AFFO. Local and regional sales accounted for approximately 78% of Billboard revenue in the fourth quarter. While local and regional sales grew for the 11th consecutive quarter, increasing 3.3%, our National business declined, decreasing by 4.3% in the fourth quarter. On the capital expenditure front, total spend for the quarter was approximately $46 million, including $15 million of maintenance CapEx. And for the full year, CapEx totaled $178.3 million, which included $58.8 million of maintenance CapEx. Now turning to our balance sheet. We have a well-laddered debt maturity schedule with no maturities until the term loan A in 2025. This year, we plan to use a substantial amount of our cash flow after distribution to repay outstandings under the Term Loan A and anticipate repaying any remaining balance through a draw on our revolving credit facility. In addition, the AR securitization matures in July 2025, and we will address that maturity most likely through an extension in the second half of this year or early next year. After repayment of our Term Loan A in full and extension of the AR securitization, the company will have no debt maturities until 2027. As Sean mentioned, we expect a less active year on the acquisition front. And if 2024 materializes as planned, we should end the year with total leverage below 3x net debt to EBITDA as defined under our credit facility agreement. This focus on our balance sheet will position the company well, resulting in approximately $1 billion of investment capacity, while remaining at or below the high end of our target leverage range of 3.5 to 4x net debt-to-EBITDA. Based on current debt outstanding, our weighted average interest rate is approximately 5% with a weighted average debt maturity of 4.3 years. As defined under our credit facility, we have reported a total leverage of 3.1x net debt to EBITDA, which remains amongst the lowest level ever for the company. Our secured debt leverage came in just below 1x at quarter end, and we're comfortably in compliance with both our total debt incurrence and secured debt maintenance test against covenants of 7x and 4.5x, respectively. Despite the sharp rise in interest rates over the past year and based on today's guidance, our interest coverage should remain around 6x adjusted EBITDA to cash interest. While we do not have an interest coverage covenant in any of our debt agreements, we do monitor this important financial metric. The healthy coverage level exemplifies the strength of our balance sheet and our ability to service our debt. Our liquidity and access to capital remains strong as the company continues to enjoy access to both the debt and equity capital markets. At December 31, we had approximately $716 million of liquidity, comprised of $45 million of cash on hand and $671 million available under our revolver. In this morning's press release, we provided full year AFFO guidance of $7.67 to $7.82 per share, reflecting AFFO growth of 2.7% to 4.7% over 2023. We also expect reacceleration in acquisition-adjusted revenue this year with operating expense growth returned to a more normalized level. As I mentioned, we received grants from several of our airport partners in 2023. This COVID-19 relief resulted in approximately $9.4 million of credits against our minimum guarantees, primarily in the first and third quarters and will not repeat in 2024. As for cash interest, we may benefit from less stringent fiscal policy if short-term interest rates begin to decline later this year. However, we are keeping full year interest in our guidance unchanged at $166 million, which is conservative and assumes SOFR remains flat throughout the year. Our maintenance CapEx budget for the year is anticipated to be $50 million in 2024 and cash taxes are projected to come in at approximately $10 million. And finally, our dividend. Yesterday, our Board of Directors approved a first quarter dividend of $1.30 per share, which represents an annualized dividend yield of 4.6% based on yesterday's closing stock price. As a reminder, the company's quarterly dividend is subject to Board approval, and our dividend policy remains to distribute 100% of our taxable income. Again, we are pleased with our fourth quarter performance and the strong finish to 2023 as well as the momentum we are experiencing early in 2024. I will now turn the call back over to Sean.
Sean Reilly: Thanks, Jay, and I'll cover some familiar metrics and then open it up for questions. In terms of pro forma growth performance across regions, as you might expect, those reason like the Gulf Coast and Atlantic and Central that under-indexed to national outperformed those regions that over-indexed to national like the Northeast underperformed. For Q4, as Jay mentioned, static represented 68.6% of our Billboard revenue, while Digital represented 31.4% of our revenue. We ended the year with 4,759 digital faces. As I mentioned, while digital billing was in the aggregate up for the year on a same board basis, it remains slightly down in Q4. In terms of local national split, local regional business for Q4 was 77.8%, national programmatic was 22.2%. As Jay mentioned, local was up in Q4, 3.3%, national programmatic was down 4.3%. For the year, local represented the 78.3% of our business, national programmatic was 21.7%, representing for the year on the local regional front, an increase of 2.6% and on the national programmatic front, a decrease of 2.2%. I mentioned categories of strength. Let me wrap some numbers around that. Relative strength was exhibited by our service category, up 15.4%, automotive, up 4.5%, amusements up 5.1%. Relative weakness, categories, retail down 5.1%, gaming down 3.7% and insurance down 3.8%. Again, those categories, some of which over-indexed to national, which explains their relative weakness. With that, Savannah, I will open it up for questions.
Operator: [Operator Instructions] Our first question will come from Cameron McVeigh with Morgan Stanley. Please go ahead.
Cameron McVeigh: Thanks, Sean. Thanks, Jay. Curious on today's - guide from a macro standpoint in a vertical recovery standpoint. And as you mentioned, it's a political year this year as well. So I would be curious if you could try and size that impact.
Sean Reilly: Sure. Let me start with - we start with our pacings and what we're actually seeing, and then we move on to our touch points with our leadership in the field and that's really how we come up with guidance. We don't really make assumptions around the macro. Regarding political, it tends to show up late. So I would guess that most of that is not reflected in our pacings yet. The - it should be a good political year. By all accounts, record amounts of money are going to be spent this year. So we are looking for a nice tailwind in the back half.
Cameron McVeigh: Got it. And secondly, I was hoping you could provide an update on the ERP initiative in terms of both timing and just trying to size the impact on margins. And on that margin point, where do you expect margins to trend both, I guess, in the near term? And then just from a longer-term perspective, taking into account normal top line growth, digital conversions and operating leverage within the business model.
Sean Reilly: Great. I'll hit it quick, and then I'm going to turn it over to Jay. He's the tip of the spear on that initiative. So we, for this year, are at - or approaching peak spend for that initiative. So when you think about our expense growth, you're going to see a little of that in our corporate expenses this year. As we go forward, that's one of the headwinds on the expense growth. But as you alluded to, it will certainly pay dividends 18, 24 months from now. And we're approaching a go live date as we speak, and I'm feeling good about it. Let me turn it over to Jay.
Jay Johnson: So Cameron, as you may recall, it's really - the rollout is really in two phases. The first is the ERP phase, which you think of this sort of the back of the house finance, operations, really automating all of that. And that go live that Sean alluded to, is on April 1. The second phase is the front of the house from a sales engagement perspective all the way through billing, configuring price and quoting our business, and that go live is mid-next year. We began this journey last year, so we did have elevated operating expenses at corporate. Because of it, we'll have a peak year this year, as Sean alluded to, and we'll have a little next year, it should tail off. And then we should really begin to see the benefits of our labor and margin expansion in 2024 as a result of these initiatives - I mean, 2026 as a result of these initiatives.
Cameron McVeigh: Great. Thank you, both.
Operator: And our next question will come from Jason Bazinet with Citi. Please go ahead.
Jason Bazinet: I just have two quick ones for Jay. Would you mind just reframing or recasting your guidance for the year through the lens of total revenue growth and total expense growth as opposed to acquisition adjusted? That's my first question. And then second, on the range on the AFFO for the year, is it fair to say that organic rev growth is sort of the key sort of swing factor in terms of that range?
Jay Johnson: Yes. So I'll take the first one. In terms of the difference between pro forma and acquisition, there really isn't a lot. As you may recall, we mentioned that acquisitions are going to be muted this year and we're going to divert that free cash flow to pay down Term Loan A. I think in the budget right now, we have approximately $30 million of acquisitions. So really, when you think about performance next year, it really is focused on organic growth. And the inflection point, I think, is really around our national business. The local business has continued to hold up well. We've had 11 straight quarters of growth and the national customer, it's been a little more challenging on that front.
Operator: [Operator Instructions] Our next question will come from Richard Choe with JPMorgan. Please go ahead.
Richard Choe: Hi. I just wanted to follow up on the national commentary. Do you expect it to just a relatively flat in - as negative as it was in '23? Or do you think that gets better or worse? And then in terms of programmatic, strong finish, kind of what helped drive that? And do you think you're seeing kind of some shift that programmatic is coming back a little bit higher this year? Thank you.
Sean Reilly: Yes. So I'll hit the programmatic one first. Richard, we're looking for the momentum that was represented in Q4 to really carry throughout the year. So low double-digit increases is what our expectation is for our programmatic platform. In Q4, we had a really important vertical come into the platform, and it's one that we don't see very often and that would be packaged goods, and that's really encouraging. As you know, they have big budgets and far reach and they're not typically utilizers of out-of-home. So that was very encouraging in Q4. In the general national tenor, what I'm looking for and what I think we're going to see through the year is what I would call stabilization. And I'll take that because we are seeing such good performance at the local and regional front that if we can just get national to stabilize, which we think we're seeing that, we'll hit our goals, for sure.
Richard Choe: Got it. And then more of a longer-term kind of capital allocation question. As your leverage comes down and you pay the near-term floating stuff down, how should we think about the incremental cash that you'll be generating if the M&A environment stays low kind of beyond this year?
Sean Reilly: So as Jay mentioned and I alluded to, the first step is that Term A., so we're going to take that out and whittle away at it. When I think about '25 and beyond - 2025 and beyond, I think in our industry, you're going to see consolidation accelerate. And one of the reasons, as a team, we decided - and this was a conscious decision to pay down a little debt as we're prepping the balance sheet for what we believe will happen over the next, let's call it, 18 to 36 months.
Jay Johnson: Richard, as you may recall, what I mentioned in my comments, if we pay down the debt this year focus on the balance sheet, leverage will tick below 3x as calculated under our credit facility and we expect to generate EBITDA north of $1 billion this year. What that means is we could - we have an investment capacity of north of $1 billion and not exceed the top end of our leverage range. So we're excited about positioning the balance sheet for what we think could be some pretty transformative things to come on the acquisition front.
Richard Choe: Great. Thank you.
Operator: And that will conclude our question-and-answer session. At this time, I'd like to turn the conference back to Sean Reilly for any closing remarks.
Sean Reilly: Thank you, Savannah, and thank you all for your interest in Lamar. We will visit again come May. Thanks a lot.
Operator: And that will conclude today's conference. Thank you for your participation, and you may now disconnect.